Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Danaos Corporation Conference Call on the First Quarter 2014 Financial Results. We have with us Dr. John Coustas, President and Chief Executive Officer; and Mr. Evangelos Chatzis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. (Operator Instructions) I must advise you the conference is being recorded today, Tuesday, May 6, 2014. We now pass the floor to one of your speakers today, Mr. Chatzis. Please go ahead, sir.
Evangelos Chatzis: Thank you, operator. Good morning, everyone, and thank you for joining us this morning. Before we begin, I quickly want to remind everyone that management's remarks this morning may contain certain forward-looking statements and that actual results could differ materially from those projected today. These forward-looking statements speak as of today and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review this detailed Safe Harbor and risk factors disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and accompanying materials. Now, I will turn the call over to Dr. John Coustas, who will provide you with a broad overview of the quarter.
John Coustas: Thank you, Evangelos. Good morning and thank you for joining today's call to discuss our results for first quarter of 2014. Danaos is reporting first quarter 2014 adjusted net income of $7 million or $0.06 a share, which is $6.9 million lower than the $13.9 million adjusted net income for the first quarter of 2013. This decrease is mainly a result of the previously announced Zim restructuring, which accounts for $6 million lower operating revenues. We anticipate this effect to be partially offset upon legal consummation of the Zim restructuring when we will commence to gradually recognize through our income statement the debt and equity instruments that we will receive in return for the charter rate concessions. A positive income driver, which starts becoming increasingly relevant, is the decrease in our financing costs as a result of the rapid deleveraging of our balance sheet and the gradual expiration of interest rate swaps which will continue in the coming quarters. During the first quarter of 2014, finance costs were $4.6 million lower when compared to the first quarter of 2013. In the current quarter, we reduced indebtedness by $60.7 million, while we will reduce debt by at least $200 million in total within 2014. Interest rate swaps were $300 million lower between the two quarters, while there is a further $1 billion in swaps expiring within 2014. The containership market remains challenging. The focus of the liner companies is on fleet deployment optimization and the creation of operational efficiencies either through M&A consolidation or alliances. In the short run, this may add further pressure to the gearless panamax charter market, which we believe will subside in the medium term as demand growth eventually absorbs in the non-mainlane trades what today are considered surplus vessels. On a macro level, a successful operational consolidation in the liner industry and the rationalization of the liner services is a positive step as the industry will become healthier and the counterparty risk for charter owners like Danaos will improve.  In any case, we maintain our strong 98% contract coverage for the next 12 months, limiting further downside from a prolonged weak spot charter market. We continue to be one of the most cost competitive operators in the industry with our daily vessel operating expenses averaging at $6,110 per day for the first quarter of 2014. With a resilient business model both from an operating and financial standpoint, we will continue to manage our fleet efficiently, while in 2014 we will focus on further deleveraging the company and creating value for our shareholders. With that, I'll hand over the call back to Evangelos who will take you through the financials for the quarters. Evangelos?
Evangelos Chatzis: Thank you. We'll briefly review the results for the first quarter and then give the chance to the participants of the call to place questions. During the first quarter of 2014, we had an average of 58.6 containerships compared to 63.1 during the first quarter of 2013. During this quarter, we sold the 23 year old 4,800 TEU vessel Marathonas that had been on cold lay-up since September 2011. The sale generated gross proceeds less commissions of $11 million. On April 25, we sold the 22 year old 4,650 TEU vessel Commodore for $10.6 million. We have also entered into definitive agreements to sell the 22 year old 4,650 TEU vessel Duka that had also been on cold lay-up since October 2012 for $10.5 million and the 23 year old 4,800 TEU vessel Mytilini for $11.4 million. Both of these vessels are expected to be delivered to their buyers within the second quarter. Following the completion of these sales, we will no longer have any vessels on cold lay-up. Our adjusted net income was $7 million or $0.06 per share for the quarter, down by $6.9 million or $0.07 per share when compared to the adjusted net income of $13.9 million or $0.13 per share for the first quarter of 2013. This decrease, as mentioned earlier, is attributed to $6 million in operating revenues as a result of reduced rates for six 4,250 TEU vessels on charter to Zim following the Zim restructuring and $1.6 million increase in total fleet operating costs partially offset by $0.7 million lower dry dock amortization charge on our income statement. Additionally, a $4.6 million improvement in net finance costs due to lower debt balances and interest rate swap expirations offset an equal amount of decrease in operating revenues attributed to lower re-chartering rates for certain of our vessels as a result of the continuing soft market and off hires related to scheduled dry dockings. We again want to note here that besides re-chartering risk, which is manageable with a 98% contract coverage, the most important driver in our earnings today is related to the hedging we have in place through the interest rate swaps. Indicatively, our adjusted net income that currently stands at $7 million for Q1 would have been $40.5 million if these interest rate swaps were not in place. These swaps are exactly gradually expiring through 2014 and 2015. And as a result, we expect a gradual consistent improvement in our financing costs over the next quarters, given the market expectations for low interest rates. With our average chartered ratio of 8.7 gears well exceeding the two years remaining duration of the swaps, we believe we will be able to take advantage of the anticipated lower LIBOR environment on the back of solid contracted income generation. More specifically now on the P&L items, operating revenues decreased by 7.3% or $10.6 million, $135.5 million in the current quarter compared to $146.1 million in the first quarter of 2013. $6 million of this decrease relates to the Zim restructuring, while the remainder consists of $3.4 million decrease related to lower re-chartering for certain vessels due to the continuing soft charter market and $1.2 million in off-hires related to scheduled dry dockings in the current quarter while we had no such dry dockings during the first quarter of 2013. Vessel operating expenses increased by 3.1% or $0.9 million to $30.2 million in the first quarter of the year compared to $29.3 million in the first quarter of 2013. The daily operating cost for the current quarter was $6,110 per day, 3.3% higher than the $5,912 daily operating cost figure for the first quarter of 2013. And it still remains one of the most competitive daily OpEx figures in the industry. G&A expenses increased by $0.5 million to $5.4 million in the current quarter from $4.9 million in the first quarter of 2013, mainly as a result of increased fees paid to our manager in the current quarter compared to last year due to an increase in the per day fee payable to our manager effective January 1, 2014, which was partially offset by a decrease in the average number of vessels in our fleet between the two quarters as a result of the vessel sales. Interest expense decreased by 8.3% or $1.9 million to $31 million in the current quarter compared to $22.9 million in the first quarter of 2013. And this decrease is mainly due to lower average indebtedness between the two quarters of $187 million to $3.2 billion in the current quarter from $3.4 billion in the same quarter last year, as well as a decrease in the cost of debt servicing between the two quarters attributed mainly to the accelerated amortization of our fixed rate debt, which bears a higher cost when compared to our floating rate debt. Realized losses on swaps also decreased by 8.5% or $3.1 million to $33.5 million in the current quarter compared to $36.6 million in the first quarter of 2013. This decrease is attributed to the lower average notional amount of swaps between the two quarters as a result of $300 million in swap expirations between the two quarters. As we are rapidly deleveraging the company's balance sheet with effectively all the generated free cash flow, we expect finance cost to continuously improve in the coming quarters in combination with continuing swap expirations. Finally, adjusted EBITDA decreased by 11.2% or $12.2 million to $96.4 million in the current quarter from $108.6 million in the first quarter of 2013 for the reasons analyzed previously on this call. With that, I would like to thank you for listening to this first part of our call. Dr. Coustas and myself will now take your questions. Operator?
Operator: (Operator Instructions) And you have a question and it comes from the line of Omar Nokta.
Omar Nokta - Global Hunter Securities: Just had a couple of questions, just first on the three ship sales from last month. You're bringing in $34 million. Just wanted to get a sense of what do you think the proceeds will be for that? Is that going to be only for debt repayment or can you do something similar to what you did last year with the nine ship sales being used to acquire some modern asset?
John Coustas: It's not decided yet. We have not used the money to repay the debt. We are looking into various kind of opportunities and we will decide really of how we're going to deploy these funds in the next couple of months.
Omar Nokta - Global Hunter Securities: And then just also wanted to check in, I noticed that two or three geared vessels running on contract recently have been extended to anywhere between six months and in the next 12 months, we've been seeing market reports indicating that the containership market is still fairly week, but there is some signs of improvement in pretty modest on a dollars per day basis. But just wanted to see if those ships that you've chartered here and then on short-term contracts, does that match up with that commentary or are you still seeing kind of a generally flat market?
John Coustas: No, it's true that if you look at the list of idle ships, especially in the vessels above 4,000 TEU. That list is really starting to dwindle. However, this has not really been reflected into, let's say, dramatically higher rates. Yes, there is an increase, but we are still in very low levels.
Omar Nokta - Global Hunter Securities: Over the past couple of months, there's been some discussion here, at least on the street, that a portion of your bank debt is coming for sale and yet you've been aggressively paying down the debt as it's been coming due and more so than that. But just wanted to see if you had a comment or any color on the potential sale of a portion of that debt.
John Coustas: We are not really aware, but we also heard from the market things like that, but we have not been officially notified by anyone that a sale has been, let's say, completed. There may be discussions, but definitely nothing has been consummated, otherwise we would have known.
Operator: You now have a question from the line of Mark Suarez.
Mark Suarez - Euro Pacific Capital Markets: Just to piggyback on one of the questions regarding cash and you announced the sales. If you were to deploy that cash, if you will, on newer second-hand tonnage, do you have a segment that you're looking towards over the next 12 months or you feel that you can add and you can get some demand for that tonnage right away with attractive charter rates, if you will?
John Coustas: There are various ships that we are looking. But to be honest, we have not really made up our mind yet of really what is the best strategy. One of the reasons is that because really people feel that we are at the bottom of the market. There are not many, let's say, serious sale candidates. And of course, there are some deals which are, let's say, given from banks that are KG vessels. The only problem with this is that these vessels are given, let's say, with a pretty good financing, but above market prices. So it's not something that we necessarily want to follow.
Mark Suarez - Euro Pacific Capital Markets: And over the past, I will say, six to 12 months, we have actually seen a lot of increased selling activities, at least more than expected from financially distressed sources. Are you seeing sort of a similar trend what you're seeing maybe some of these financially distressed sources such as banks or owners now sort of getting desperate to the point of maybe trying to get rid of some of that tonnage away from their balance sheet? Are you getting more calls from sources such as that or what is your sense in the market right now?
John Coustas: We don't really see distress to be honest. The only distress that we see to a certain extent are, let's say, vessels which are ex-KG vessels, which are insolvent and the bank want to get rid of. That is a continuing kind of story. And it all really depends to which extent the banks want to write a loss, which to be honest until now we don't really see any big appetite for banks to take down serious write-offs.
Mark Suarez - Euro Pacific Capital Markets: And then finally turning to the operating expense item for a second, I see that your daily vessel operating expense came in above or as generally you expected. And I'm wondering what the main item behind that increase this quarter was and should we expect a similar run rate for the remainder of the year?
Evangelos Chatzis: This relates to certain front-ended expenses that we have incurred and they affect the quarterly results. But as we move ahead for the rest of the year, this will actually normalize and we will revert back to our normal operating cost figures. So we suggest for this quarter, it's not recurring.
Operator: (Operator Instructions) Gentlemen, there appear to be no further questions. So I'll pass the floor back for closing remarks.
John Coustas: Okay. Thank you all for joining this conference call and for your continued interest in our story. We look forward to hosting our next earnings call. Have a nice day.
Operator: Thank you very much and many thanks to both our speakers today. That does conclude the conference. Thank you for participating. You may now all disconnect.